Operator: Welcome to the TreeHouse Foods Conference Call. This call is being recorded. At this time, I would like to turn the call over to TreeHouse Foods for the reading of the Safe Harbor statement.
P.I. Aquino: Good morning. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include all statements that do not relate solely to historical or current facts and can generally be identified by the use of words such as guidance, may, should, could, expects, seeks to, anticipates, plans, believes, estimates, approximately, nearly, intends, predicts, potential, promises or continue or the negative of such terms and other comparable terminology. These statements are only predictions. The outcome of the events described in these forward-looking statements is subject to known and unknown risks, uncertainties and other factors that may cause the company or its industry's actual results, levels of activity, performance or achievements to be materially different from any future results, levels of activity, performance or achievement expressed or implied by these forward-looking statements. TreeHouse's Form 10-K for the period ending December 31, 2013, and other filings with the SEC discuss some of the risk factors that could contribute to these differences. You are cautioned not to unduly rely on such forward-looking statements, which speak only as of the date made, when evaluating the information presented during this conference call. The company expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in its expectations with regard thereto or any other change in events, conditions or circumstances on which any statement is based. At this time, I'd like to turn the call over to the Chairman, President and Chief Executive Officer of TreeHouse Foods, Mr. Sam K. Reed.
Sam K. Reed: Thank you, P.I. Good morning, all, and welcome back to our TreeHouse. Dennis and I have sobering news or our year-end to report to you. We will also share our financial outlook and strategic perspective on the year ahead. A frigid arctic front descended on the food and beverage industry late this winter. Our TreeHouse was not spared and like many others, suffered storm damage. We were fortunate, however, in that our strategy and structure withstood these blizzard conditions and remained intact. While our home will require exterior repairs, they will be undertaken with the confidence and knowledge that our strategic foundations are structurally sound. Our hopes for a strong fourth quarter finish were dashed in December as holiday season revenues fell substantially short of our plans. Three factors accounted for the bulk of our year-end earnings miss. First, a large merchant customer cut -- a large mass merchant customer cut back fourth quarter shipments, even as its internal point-of-sale data reflected improving consumer takeaway across our private label portfolio. This sudden shift was unanticipated and reflected a change in operating philosophy that evidently affected a broad swath of CPG manufacturers. As a direct result, organic growth in our retail channel, which had registered a plus 5.5% through September, slowed to a plus 2.6% in the fourth quarter. Second, after 4 years of accelerating holiday season growth, the overall snack nut industry suffered an unexpectedly weak holiday season. Both national brand and private label segments struggled as 2 of every 3 grocery chains reported lower volumes than the previous year. Tree nuts, especially almonds and walnuts, were particularly affected as drought in California triggered low yields, a supply shortage and sharply higher cost. Flagstone, like others, was caught in this industry-wide squeeze as price increases of 9% to 13% on tree nuts curtailed the usual seasonal promotions and merchandising. Third, an intra-company trade deficit with our Canadian operations exacerbated the effects of currency fluctuations and tax rate differentials on our fourth quarter reported results. These issues more than offset strong performance elsewhere in our private label portfolio. Single serve beverages posted its best ever quarter as revenues grew 33%, and private level share of single serve coffee expanded to 12%. Our Protenergy acquisition exceeded its first year expectations and established a sound basis for further expansion of aseptic packaging across private label adjacencies. Our Canadian operations performed well on a local currency basis as they grew to more than CAD 350 million in revenues to their north of the border customers. Lastly, in contrast to most others, we have continued to generate organic growth quarter-after-quarter. Bay Valley Foods has united its dozen legacy predecessors into a strategically focused and organizationally cohesive operating company. Leveraging our category and customer portfolio strategies with the power of simplification, our legacy enterprise grew organically, expanded its gross margins 100 basis points and improved product mix across its broad portfolio of 9 major grocery categories. Dennis will now review the past quarter in detail as well as provide a preview of our plans for the new year ahead. 2015 promises to be a year of sustained growth and strategic expansion at our TreeHouse, but also one requiring lengthy footnotes of nonoperational matters. I'll later return for an overview of our long-term strategies with particular emphasis on single serve beverages, better-for-you snacks, aseptic packaging as well as acquisitions. Dennis?
Dennis F. Riordan: Thanks, Sam. As Sam indicated, we did not finish the year as we expected. But as I review the major items that took place in the quarter, I believe the basic fundamentals are still very strong for TreeHouse. Most of the issues in the quarter were largely outside of our control, and with the exception of the unexpectedly large devaluation of the Canadian dollar, they were primarily fourth quarter events only. Let me cover the bad news first. As we mentioned earlier, top line sales were below our expectations. There are 2 reasons for this. The primary reason was that a very large mass merchant customer significantly changed order patterns late in the fourth quarter. We saw this late fourth quarter change across nearly all of our product categories. We believe this was done primarily to reset their inventories as private label consumer sales remained consistent throughout the quarter. After growing in the mid-single digits for most of the year, this customer's fourth quarter sales growth was negative mid-single digits, driven in large part by the last 2 weeks of December. Conversely, the entirety of the rest of our retail customer base was up over 4% in volume/mix in the quarter, clearly indicating the overall health of our private label programs. The second reason for the shortfall, as Sam pointed out, was due to the shift in consumer purchases of snack nuts in the fourth quarter, where category-wide revenues fell 7% below the historic fourth quarter trends. We are working with our customers to deliver solutions that will allow for a more favorable alignment of product costs and price points. We estimate that these 2 major sales issues represented about $0.09 of the earnings shortfall in the quarter. The big nonoperating that hit us late in the quarter was the very quick devaluation of the Canadian dollar in December. The average exchange rate started the quarter at about CAD 0.90 to USD 1 but finished at about CAD 0.86 to the U.S. dollar, with most of the drop-off occurring in December. This challenged our Canadian margins in the quarter, but as I'll explain later, this devaluation will have a much more pronounced effect on 2015. Two other items in the quarter were the write-off of approximately $0.03 related to a small manufacturing line associated with an industrial customer that we moved to a different process and higher-than-expected pension and medical expenses amounting to about $0.03 in EPS. The manufacturing line write-off reduced our gross margins, while the pension and medical expenses are included in G&A. The negative effect of all the late sales shift in these expenses amounted to almost $0.15 in earnings hit in the quarter. As a private label manufacturer, we do not have large marketing budgets to help affect the soft landing when things don't go as planned. So when these issues arise, we immediately pay the price. Now let's go to the positives for the quarter, which I believe are foundation building. First, I think our sales in the quarter need to be put into perspective to better understand the strong fundamentals we have. Despite the customer issue, our sales in the quarter still finished with volume/mix growth of 3.4%. This growth was driven by a 2.6% volume increase in our retail segment. And unlike very food -- very few food companies that focus on the center of the store, this was the seventh straight quarter of year-over-year volume/mix growth. As I look at growth in our North American Retail Grocery segment in the fourth quarter, we saw positive tonnage in many categories, including pickles up 3.2%, hash cereal up 6.9%, and even dried dinners, which had a challenging year through the first 9 months, was up 15.5% in the quarter. And of course, our coffee program continues to perform extremely well despite the increased competitive dynamics in single serve coffee. Our volume in retail was up 52% in the quarter, although sales revenues were not as strong due to the aggressive pricing by the brand leader. In contrary to some reports, our retail coffee business continues to show double-digit growth into 2015. Diving deeper into growth, we continue to see a shift in consumer eating habits, which is in turn, changing our customers product assortment. As we said in the past, our product solutions for the better-for-you food segment, including organic, natural and gluten-free products represents just under 10% of our retail assortment. However, this category of products continues to grow faster than our other categories. We are seeing the growth taking place in all of our customer classifications, from specialty retailers, right down to customers who historically focus on the lowest price points only. In fact, for the full year of 2014, net sales of these products grew 42% compared to 4.7% for our total retail segment. Total sales for the retail channel grew 42.9% to $684 million from $479.1 million last year. Most of the growth came from acquisitions, but as I mentioned earlier, 2.6% came from organic growth. Direct operating income margins decreased from 14.6% last year to 14% this year due to a combination of foreign exchange reductions in California -- in Canada and the change in mix resulting from new acquisitions. In the Food Away From Home segment, our sales were relatively flat as our recent acquisitions have almost no presence in the second quarter. Direct operating income margins decreased from 14.8% to 13.9% due to slightly higher operating cost in our pickle business and the negative effect of foreign exchange as we do a fair amount of the business in Canada. Our Industrial and Export business did very well with volume/mix improvements of 12% and the benefit of acquisitions of 31.9%. Total sales, therefore, increased 44.6% to $123.7 million in the quarter compared to $85.5 million last year. The improvement in both top line and bottom line in the segment are the result of our focus on better margin co-pack business. We have now significantly reduced the very low margin co-pack business we had for a number of years and have focused more on value-added business. Although the margin percent has decreased a bit from last year, we've added a lot of solid new business and have been able to better utilize our existing capacities. On a consolidated basis, sales for the quarter were $903.5 million, an increase of 36.8% over last year due primarily to the additions of Flagstone and Protenergy. Excluding the acquisitions, we are able to increase total volume/mix by 3.4% across all channels. This represents our best organic sales growth in many years. Gross margins for the quarter were down 8 basis points -- 80 basis points to 19.9% from 20.7%. The decrease was driven by a 90 basis point reduction in gross margins, primarily due to foreign exchange challenges in our Canadian businesses. So excluding ForEx, we would have been flat on a year-over-year basis even with the addition of lower-margin sales from the new acquisitions. Operating expenses in the quarter were well controlled, with selling and distribution expenses dropping to 5.5% of net sales compared to 5.7% last year, and general and administrative expenses finishing at just over 4% of net sales compared to 5% last year. We've been able to realize some leverage of operating cost with the new acquisitions, but we also made a small decrease in incentive compensation in light of the weaker-than-expected ending to 2014. Interest expense was $12.1 million in the quarter, which is very close to last year's expense, as we have lower overall interest rates offsetting the additional borrowings we made to complete nearly $1 billion of new acquisitions last year. In regard to debt, we had a good quarter of cash flow, and that allowed us to pay down nearly $103 million in net debt. Net debt now stands at just over $1.4 billion, and our leverage ratio was 3.4x debt to EBITDA for compliance purposes at the end of 2014. Income taxes for the quarter were $18.1 million, representing an effective tax rate of 34.8%, up slightly from last year's 33.6%. The effective tax rate has gone up slightly from our run rate of the first 3 quarters, due to the shift in income to the U.S.A., as Canadian margins were pressured due to foreign exchange. Reported net income in the quarter was $33.9 million compared to $22.8 million in last year's fourth quarter. This equates to fully diluted earnings per share of $0.78 in the quarter compared to $0.61 last year. After considering the unusual items that are highlighted in our press release this morning, our adjusted earnings per fully diluted share for the quarter increased slightly to $0.99 compared to $0.98 last year. So despite the increase in sales, we saw the effective foreign exchange pressures that noticeably affected total earnings in the quarter. Now I will cover the outlook for 2015. Although food industry dynamics will likely be challenging again, we believe that 2015 will be a good year for TreeHouse, especially as it relates to our ability to keep driving top line growth and improving the operating performance of our business units. Our new product introductions in the better-for-you food categories will include new offerings in snack nuts like heat and eat, roasted nuts in both large and single servings, new dried vegetable offerings and an increasing array of organic offerings across our product portfolio. And finally, we continue to expect that our single serve coffee solutions will maintain a double-digit growth rate in retail volume as we roll out more flavors and offerings and all of them fully compatible with Keurig 1.0 and 2.0 brewers. We'll continue to see more great execution from our management teams. We do have 2 headwinds that will play a significant role in our earnings growth in 2015. The first and the larger is a significant decrease in the value of the Canadian dollars compared to the U.S. dollar. As many of you know, the Canadian dollar is now trading at about CAD 0.79 compared to USD 1. That represents a deflation rate of just over 13% when compared to the average Canadian dollar exchange rate in 2014. The devaluation will have a significant effect on our earnings in 2015 because we have a large presence in Canada due to our E.D. Smith, Associated Brands and Protenergy Natural Foods businesses. A little over 11% of our sales were in Canada in 2014. In the case of E.D. Smith in particular, we have a very high percentage of their input cost purchased in the U.S.A., but sold into Canada. This magnifies the effect of the Canadian dollar because many of their input costs are effectively rising by over 13%, but their sales will not cover the higher cost. As a result, our Canadian-based sales will have lower margins as we can't pass all the foreign exchange on through higher pricing. In addition to the lower gross margin, those Canadian sales will be translated into U.S. dollars, representing a 12% to 13% decrease in reported U.S. dollar sales. Overall, we've estimated that the Canadian dollar will average about $0.80 to $0.82 in 2015 when compared to the U.S. dollar. Based on that estimate of average exchange rates, we will see approximately $0.30 in EPS headwinds in 2015. Compounding the exchange rate challenge, the weak Canadian dollar will result in lower Canadian taxes. That means more of our pretax income will come from the U.S.A. where we have higher corporate tax rates. In 2014, our reported effective tax rate was 34.2%. However, after adjusting for the unusual items highlighted in our press release, the effective tax rate for our adjusted earnings was 32.8%. For 2015, we've estimated that the average effective tax rate will increase from the adjusted tax rate of 32.8% to about 35% due to a higher percentage of U.S.-sourced income. This higher tax rate would reduce adjusted EPS by about $0.13 compared to last year. So before we've even stepped foot into 2015, we faced about $0.43 of EPS headwinds. And despite those headwinds, we do have a lot of good things ready for 2015, as I mentioned, new products and some of those are already shipping. Our simplification programs will continue to drive plant operating efficiencies and improve our customers' scorecard rates. And finally, we will maintain our position of having the lowest cost structure among our publicly held pure group food companies. So now let me give you some details regarding our 2015 estimates so you can update your models. First, sales are expected to increase by 23% to 24%, inclusive of 12 full months of Protenergy and Flagstone and after considering the negative exchange rate assumptions for our Canadian sales. On a legacy basis, we believe organic sales growth in our retail segment will be in a range of 2% to 3%. Our gross margins will be relatively flat in total for 2015 as the margin headwinds from the FX challenges and negative sales mix from the acquisitions of Protenergy and Flagstone will be offset by internal improvements and other savings initiatives. Operating expenses. The combination of selling and distribution, general and administrative will see a very small increase as a percent of net sales as we make additional investments in systems implementation to more quickly bring our newest acquisitions onto our SAP platform. Other costs will generally be in line with our 2014 spending levels after considering the full year effect of both Protenergy and Flagstone. Our adjusted EBITDA is expected to grow 20% to 21% in 2015. You'll notice that this growth is a little lower than our sales growth as it considers both the negative exchange rates and our new mix of sales. As we've discussed many times in 2014, the newest acquisitions have historically lower-margin rates due to the dynamics of their particular product categories. The full year margins for our legacy businesses will be up slightly as internal efficiencies will be partially offset by more competitive single serve coffee category, which will place pressure on those margins in 2015. In terms of our noncash items, those will all grow pretty much in line with the growth of the company from acquisitions. Depreciation and amortization is expected to be between $126 million and $130 million, while capital spending will be between $115 million and $125 million. Our stock compensation cost will increase to a range of $32 million to $33 million as we increase the participant pool as a result of the recent acquisitions and take into account the growth of the company. We expect our net interest expense will be in a range of $46 million to $48 million, reflecting our belief that rates will stay low in 2015. As for new debt issuances, we have not assumed new financings at this time, but we'll take advantage of low long-term interest rates when and if we feel the timing is right. Our effective tax rate for 2015 is expected to grow to 35% for the reasons I gave earlier, resulting in the $0.13 headwind in earnings, with very little we can do to offset that higher rate. And finally, our share count will rise during the course of the year as normal vesting of options take place. We ended the year with approximately 43.4 million shares outstanding and estimate that we will end 2015 with close to 45 million shares outstanding. So all things considered, we believe our full year adjusted earnings per share will increase between 8% and 12% in 2015 to a range of $3.80 to $3.95. This is a wider range than we normally give, but with the big swing in Canadian exchange rates, we believe it's prudent to widen the guidance for 2015. Now let me cover the first quarter of 2015. We expect that the year-over-year change in Canadian exchange rates will be the most pronounced in this quarter. This will negatively affect both top line sales and margins of our Canadian operations. In addition, the seasonal trends for both Protenergy and Flagstone are such that the sales and gross margins will be seasonally low as well. Based on our assessment of seasonality and exchange rates, we expect adjusted first quarter earnings per share to be in a range of $0.55 to $0.60. We expect to see a more pronounced shift of earnings towards the back half of the year. I'll now turn it over to Sam.
Sam K. Reed: Thank you, Dennis. Your financial outlook reflects the high quality of earnings and intrinsic value emanating from our ongoing operations. While we must contend with stiff headwinds elsewhere, our operating companies will continue to post strong results in organic growth, operational prowess and strategic progress. With an expanding and diverse portfolio equally balanced between growth and value, our category and customer portfolio strategies will guide us to opportunity, both in center of store and around the perimeter. Our business system focused as it is on innovation and simplification, addresses the product, service and value needs of customers in all channels and consumers of all generations. We will deliver, just as we always have, the value without compromise proposition that distinguishes TreeHouse from our competitors in grocery, food service and industrial channels across North America. From a long-term strategic perspective, we will continue to evolve with the private label marketplace, as the old standard of NBE, National Brand Equivalent, is supplemented by customer brands that address consumer demands for clean labels, innovative packaging and relevant flavors befitting the millennial lifestyle. We will be in the forefront of meeting these demands in single serve beverages, better-for-you snacks and contemporary staples. Single serve beverages have been the primary engine propelling our organic growth for the last 3 years. Double-digit growth in beverages, now a $1.5 billion category at TreeHouse, will continue through 2015 as we adapt to new competition, lower price points and greater market segmentation in retail grocery channels. Our growth engine, initially geared for pedal to the metal acceleration must now shift into overdrive for sustained momentum over the long haul. As we venture forth into 2015, our growth plans are predicated upon private label expansion, customer brand innovation and consumer stratification. Taken as a whole, these factors spell opportunity for TreeHouse, albeit at lower margins, as the private label growth in retail channels exceeds that of brands and household penetration expands to middle-class families seeking greater value in single serve beverages. Healthy snacks have provided us with a strategic platform in which to reach a new generation of private label shoppers. Our expansion into the $26 billion better-for-you snacks sector has opened new avenues to customer brand growth as grocery retailers scramble to serve millennial consumers cruising the racetrack along the store perimeter in search of nutrition, convenience and value. Our outlook for healthy snacks is now more guarded than before the holidays. As a consequence, our expansion will proceed at a slower pace than originally foreseen. And we now must, as we have, in virtually all of our dozen acquisitions, revise our initial business plans in pursuit of growth, profits and category leadership. Our first priority is to drive the top line momentum that has historically generated double-digit growth at Flagstone. Our go-to-market teams at Bay Valley and Flagstone will collaborate in category management, customer brand innovation and product merchandising. Synergies will be derived from procurement and infrastructure economies of scale. Capital will be infused to drive productivity and to extend SAP to our largest business unit. Whatever the short-term difficulties, the long-term category trends are too compelling and the Flagstone team too talented for us to regard snack nuts, trail mix and dried fruit as anything other than the cornerstone of another TreeHouse growth platform. Lastly, acquisitions will remain a primary means of strategic expansion. 10 years from inception, TreeHouse has grown fivefold, rising to industry leadership and mid-cap status. Our M&A program, framed by strategy in concert with finance, has steadfastly directed us on a road to portfolio expansion and operational synergy. In the coming year, we'll produce more of the same with a primary emphasis on healthy snacking, aseptic packaging and modernizing traditional staples. In this regard, Protenergy Natural Foods, as it continues to generate double-digit volume gains in grocery channels, stands as a reminder that it is the center of the store that has nurtured our TreeHouse from its very beginning. We anticipate that 2015 will be another active year for food and beverage M&A with TreeHouse in the vanguard. In closing, my personal perspective is that 2014 was an extraordinary year of strategic progress and operational advance, marred by unforeseen events at year's end. Further, it is also my view that in 2015, TreeHouse will once again overcome adversity and perform to our highest standards in all respects. Tiffany, you may open the lines for Q&A.
Operator: [Operator Instructions] We'll go first to Farha Aslam with Stephens Inc.
Farha Aslam - Stephens Inc., Research Division: Could I just have a little bit more detail on the snack nuts. And what exactly do you think drove the weakness in a little bit more detail? And how you anticipate and the pacing you anticipate that category to recover?
Sam K. Reed: Good morning, Farha, it's Sam. The -- first, the critical event here is that at the holiday season, after there had been 4 consecutive years of very fine growth in tree nuts, with private label gaining share over that period of time, that a combination of cost increases, drought, led to a real pullback by the groceries in their promotions and merchandising. We had indicated that for tree nuts in particular, the pricing -- the cost increases ranged from 9% to 13% at the end of the year. And what we saw is that grocers elected to really scale back. The most fascinating aspect of it to me, is that when we went through the scan data, we found that approximately 2/3 of all of the grocery accounts that we track showed volume decreases and most of those were across private label and brands. I think with regard to the go-forward perspective of this, there are 2 matters. One relates to how we do -- how the industry does holiday planning for a year from now. And then we also have to deal, going forward, with what these higher prices are and how to deal with that. In that regard, Flagstone is more fortunate than many of its competitors in that they've developed formulations, product packaging, merchandising programs that enable them to find ways other than straight pricing to offset these cost increases.
Farha Aslam - Stephens Inc., Research Division: Okay. And then on the inventory de-stocking in terms of the focus on particular categories. And does that continue in the first quarter, or was that entirely a fourth quarter event?
Dennis F. Riordan: This is Dennis. The -- it was actually across a broad array of our categories. Almost every single one was affected, which tells us it was not a particular issue as much as it was a global strategy in our view on the part of that retailer. I think there was a little more of that softness going into January, which is a typical year-end for many retailers. But the numbers have picked up nicely in February.
Operator: We'll go next to John Baumgartner with Wells Fargo.
John J. Baumgartner - Wells Fargo Securities, LLC, Research Division: I just wanted to ask about the natural and organic foods portion of your business. In terms of what you're seeing from your customers as they develop their portfolios, are you seeing a kind of tiered portfolio where you might have a national equivalent type of product and then maybe a lower-priced offering for more mainstream consumers, bringing those mass consumers into organic?
Sam K. Reed: Yes, I think we're seeing 2 different things, John. The -- we're getting the premium side with the fancy formulas and the specialty. But I think your question is on the mark in terms of we're seeing a broader array of offerings where more and more retailers are trying to come up with that healthier option, but priced more towards parity or even slightly below the brand. So you may give up a little bit of the price gap, but what you're getting is a better offering. And so we're seeing that become more prevalent.
John J. Baumgartner - Wells Fargo Securities, LLC, Research Division: Okay, okay. And then just a follow-up, Sam, I wanted to come back to your comment on I think your healthy snacks outlook being more guarded. Because it would seem on the face of this, the Q4 issue of Flagstone was more just kind of cost pricing relationship driven. So is there any fundamental change to the consumer or snacking environment that's making you more guarded going forward in terms of your M&A strategy?
Sam K. Reed: John, being more guarded largely has to do with contending with these cost increases in tree nuts, which are at the premium end of the perspective. There is -- with regard to M&A, our belief is that we've got an excellent platform to build here and that the trends with regard to growth and better-for-you snacking are just extraordinary, and we couple that with the capability of Flagstone, we've -- there's no hesitation at all about pursuing aggressively M&A growth there. In the meantime, we have to deal with these cost increases and are doing so.
Operator: We go next to Christopher Growe with Stifel.
Christopher R. Growe - Stifel, Nicolaus & Company, Incorporated, Research Division: I just wanted to ask, then, if I could, 2 questions. The first would be, you had indicated that the single serve beverages, I think, had a solid double-digit performance. And I just want to make sure, did that continue into early '15? And just if you can give any kind of color on the -- there's been obviously a lot speculation on some of the private label customers, how your customer list is looking here into '15?
Sam K. Reed: It's Sam. First of all, with regard to '15, we expect very strong double-digit growth. The quarter just ended. We actually posted, I think, 33% volume in revenues. And importantly, what we're seeing here is the expansion of the private label portion of the business from about 10%, which was kind of a round number of what we had generally expected for the last several years. And it's moved up to 12%. And so in a marketplace where there are customers of ours that have moved to another competitor, there also is a growth of about 20% in the entirety of that segment of coffee. So we've got those factors going together. The other matter is that on the basis of preliminary data, what we see is that programs where we are the primary supplier, that the volume growth, the response to merchandising and the average retail price per cup are in all 3 measures. Our programs are superior to that of any other private label competitor, especially where a single competitor has the entire array of private label license branded products. And as a result, we believe that over the course of '15, you'll see that private label will grow greater than the category and the TreeHouse will continue to grow greater than private label in its entirety.
Christopher R. Growe - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. That's very good color. Sam, I just had a quick follow-up, if I could, for Dennis, and just to understand -- and if you gave this, I'm sorry I missed it. The amount of input cost inflation, whether it's percentage terms you expect for the year. And then I also want to check in on the underlying margin improvement we've been talking about, the simplification process, and how much that's expected to add to the gross margin for the year.
Dennis F. Riordan: Yes. on the input cost, it's a real mixed bag, with -- driven by nuts in particular. So I think overall, we will have probably a slight increase, but it's going to be driven by pluses and minuses across the portfolio. So I guess the easy way to sum it up is some of our product categories will have challenges and will be pricing. And others will probably have less of an issue to deal with, so that's overall positive for us. And Chris, second question.
Christopher R. Growe - Stifel, Nicolaus & Company, Incorporated, Research Division: Just the simplification, and like, the process and what that could add to the gross margin this year.
Dennis F. Riordan: Well, unfortunately, it's not going to add. In and of itself, it's additive, we think, at least 100 basis points. But what we're running up against is the mix of the new businesses and exchange rates will -- which will eat away probably all of that. And we're probably looking at flat margins on a year-over-year basis on a consolidated basis.
Operator: We'll take our next question from Jon Andersen with William Blair.
Jon Andersen - William Blair & Company L.L.C., Research Division: Can I ask about the -- I want to start with the Q1 guidance, which is quite a bit below the expectation, at least as reflected in the consensus view. Can you talk a little bit more about the primary drivers there? And I know FX is one of them, but also, I think you mentioned some seasonality related to the recent acquisitions and maybe whether there is some carryover in terms of either inventory de-stock and snack softness?
Dennis F. Riordan: Yes, Jon, the bulk -- I shouldn't say the bulk, but a good bit of that combination of $0.43 headwind attacks and the exchange is going to come earlier in the year than later in the year. And in fact, as I mentioned, our estimates were to run between $0.80 and $0.82 in terms of Canadian exchange and they've been staying stubbornly below $0.80. So yes, that's where that guidance impact is going to be even a little -- it's going to be a little tougher, which is why we've guided low to that $0.55 to $0.60 range. I'm not seeing a big carryover issue coming out of Q4. As I said, there was a little softness in January, which was almost to be expected because of the January 31 being a typical year-end for many of our customers. And we generally see a lighter January because of that. I did want to make sure that people also understood the seasonality of the new businesses. We're coming out of soup season, we're coming out of the big holiday season where nuts are especially strong. We're coming out of the winter season, to an extent. So even though we're still doing the coffee creamers and such, which is a good business for us, the sales come down. So historically, Q1 is light and the new acquisitions, it's even lighter for them. So we just wanted to make sure everybody got grounded and not have a second surprise, let's say.
Jon Andersen - William Blair & Company L.L.C., Research Division: Okay. In terms of the recent acquisitions, clearly, Flagstone was a bit of a surprise in the fourth quarter. Can you talk a little bit about maybe some of the specific ways which you plan to try and address that? I think, Sam, you talked a little bit about packaging and positioning, but some specifics around that, given the soft holiday. And then Protenergy, you didn't talk as much about kind of what you're seeing there in terms of performance versus plan. And we're starting to see more product show up in the rectangular curtains at the shelf including some vegetables and other things, including ready-to-serve soup. Are you kind of positioned to start to capitalize on that trend in 2015 as well?
Sam K. Reed: Jon, first, with regard to healthy snacks, I listed the full litany of the program. The single most important matter is to develop and refine products, the packaging, and in particular, the merchandising around the perimeter. That creates the impulse nature that's associated with these snacks. And Flagstone is unmatched in that capability. What they've got to do is adapt it to the costs of the -- that have come in with regard to tree nuts. And then their products, they have the opportunity to kind of vary form -- combinations or formulations of the different products, particularly in trail mixes to that regard. So that will be the primary thrust. And with Protenergy, it's just been an excellent start here. I'd indicated that it had exceeded -- not only exceeded its first year plans, but we've got a lot of matters in development with research and marketing development of additional products, and it can move beyond broth into adjacencies. And you'll see those begin to hit the market early in 2015. And then for the soup season at the end of '15, you'll see a fully integrated and united campaign across boxes as well as cans. Last point there is that we'd indicated that aseptic packaging is one of the strategic opportunities for M&A. And we will be highly on the lookout for another Protenergy type of acquisition.
Jon Andersen - William Blair & Company L.L.C., Research Division: Okay. Last one for me. Taking the issue with the mass merchant customer out of the fourth quarter. What has the performance been across kind of channels, so your conventional grocery channel versus alternative channels? I thought the resurgence maybe in the conventional grocery channel was an important part of the organic growth story for you, given kind of the tiering of the offering that's done in that channel.
Dennis F. Riordan: Yes. We actually saw -- I mentioned, it was plus 4% across the rest of the group. So obviously, the rest of the group did very well. Traditional is doing quite well. But the premium has done well, and I was a little surprised that value side actually had a very strong quarter. And as I've mentioned, I think what we're finding is our -- even those guys who play typically as a price point offering as opposed to the quality of the product offering, and I'm trying to be tender when I say that, but they're more and more we're starting to see them get into that better mix of cleaner labels, healthier products. So we -- I think they're reacting to the change in consumers, just like everybody else is. And to me, that was a little bit of a surprise to see their numbers are pretty strong in the quarter.
Operator: We'll take our next question from Amit Sharma with BMO Capital Markets.
Amit Sharma - BMO Capital Markets Canada: Sam, you had talked about this a couple times in terms of formulation for the snack nut business. How much have you leaned into it yet? And how much flexibility do you have to change formulations to really offset some of this cost inflation that you're seeing in that category?
Sam K. Reed: Well, in snacks, we have a far greater degree of latitude than we do in other product categories. And it is an accepted practice and one that Flagstone has become expert in to -- as costs change to adjust the types -- adjust in several ways, one, the mix of different particular nuts and fruits; the second is the grade of each that becomes available. And this is not only done in terms of formulation and product presentation but works backward through the supply chain to the -- early on, the product, the procurement and demand planning. The one factor here that was extraordinary and was that the effect of the drought on the almond crop in California was kind of far beyond the expectations of anyone in the marketplace. But now that we know what to expect, we will adjust to that. I think you'll see us move quite quickly here.
Amit Sharma - BMO Capital Markets Canada: Got it. So my understanding was you have to be within the confines of the contract. Are you still within that, or do you have to go to the retailer and maybe restructure some of these limitations as to grade, or the relative...
Sam K. Reed: In every case, we are well within the confines. And with retailers, we're much more focused on the development of new items and innovation than you are on higher formulation changes around the margin. It's those new items, it's the merchandising where you'll see the double-digit growth that is the hallmark of this business continue unabated.
Amit Sharma - BMO Capital Markets Canada: Got it. And then have you seen any benefit from lower gas prices on this category yet? Or do you expect to?
Dennis F. Riordan: Not really in most of our areas. I think the area that is the most right to see some benefit going forward would be Food Away From Home. Now most of our Food Away From Home business tends to be in a quick serve, which is maybe a little less impacted. But that is the one area, I think, bodes well for our Food Away From Home business next year.
Amit Sharma - BMO Capital Markets Canada: And the last one for me, is you talked about pretty solid growth in the natural organic, healthier snack segment. I mean, when you talk to your customers, do you feel like there's a need to reeducate them as a role of TreeHouse in that segment? Are you seen as a mainstream player, or do you think you are increasingly being seen as a valuable partner in that segment as well? Or do you need to do more work to get there?
Sam K. Reed: I think we are seen as a real leader in the industry, in particular, across private label. And I think that as I'd indicated in my prepared remarks, we have been early in -- early adapters in sensing that the national brand equivalent, which used to be the holy grail for this, now has become a point of reference from which to then digress. And while we have a small business here, what you're seeing in premium is we still are at the 10% growth rate. And in the natural and organic and related, we're running at a 40%-plus basis. And I think you'll see that the customers, the retailers who are considered leaders here, will be bringing forth more items under TreeHouse manufacture.
Amit Sharma - BMO Capital Markets Canada: And just one more of that. Your margin structure in that portfolio is comparable to what it is on the mainstream products?
Dennis F. Riordan: In general, that margin structure, on a reported basis, would be a little bit higher.
Operator: We'll take our next question from Akshay Jagdale with KeyBanc.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Dennis, on corporate expense, is this quarter's adjusted corporate expense of $55 million a good run rate to think about for next year, given the acquisitions?
Dennis F. Riordan: Just a little bit lighter. Because I've mentioned, we took a bit of a reduction in incentive comp due to the lower-than-expected results for Q4, Akshay. So it will be a touch higher than that for next year.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: And it's good to think of it on an absolute basis for now, or as a percentage of sales, or both are slightly higher?
Dennis F. Riordan: I would focus on the percent of sales, which we talked about in the -- is the better way to look at that.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Okay. And in terms of the margin profile for North America with -- again, with the moving pieces, this quarter, was it a good representation of sort of what the profile should look like? And then we should make some adjustments for what you said on single serve and some of the other commentary you gave? Is that a good way to think about it?
Dennis F. Riordan: Yes. Actually, I think we'll be a little more pressured, Akshay, early in 2015 because of the exchange rates. The big drop in rates occurred very late in the fourth quarter. And we'll have a full quarter's effect of probably a CAD 0.79 to CAD 0.80. So I think you'll see a little weakness in Q1, which is part of the reason why we guided to where we did for Q1 earnings. And you'll see, I hope, recovery in the back half as we get to the higher end of our estimate range for the Canadian dollar.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: And just one last one on the snack nuts. I think in the prepared remarks, you may have mentioned some issues with supply. Can you just delineate a little bit between maybe -- we get that the almond side, there's obviously the weather issue has impacted prices. But from what we're hearing on the walnut side, it's -- prices are actually going to be down. I know the crop quality is not great. There was a mention of some supply issues. So can you elaborate on that a little bit?
Sam K. Reed: Akshay, it's Sam. I addressed that, and it was directed at the California almond crop. And we are now watching the -- for the first indications of the bloom late in the first quarter in order to formulate our plans for the year ahead. But it's primarily almonds that is a factor.
Dennis F. Riordan: And Akshay, just to be clear, we have -- the walnut side of our business is very small.
Operator: Our next question, with Jonathan Feeney with Athlos Research.
Jonathan P. Feeney - Athlos Research LLC: Is there any indication either in that large de-stocking customer or in some of your other retail customers that -- of decreased sort of tactical interest in promoting private label right now, either due to branded price cuts in some other categories, or within those categories, or maybe even a better economy, maybe people thinking about shelves a little bit differently?
Sam K. Reed: Jon, it's Sam. With the single exception of one large-scale mass merchant, everybody else is really clamoring to understand how to do better in their private labels, and we are busier on a top-to-top basis with major grocery customers than any other time in our 10-year history. And I'm very positive about the effects of that. And one matter that kind of gets lost in the detail here is that for 7 consecutive quarters, this business has posted organic growth. And there are very few that can come close to that. Our expectation is on the coming year that we will do that quarter-by-quarter and continue that.
Jonathan P. Feeney - Athlos Research LLC: That's great, Sam. Just as a follow-up, I mean, excluding -- obviously, you've had some spectacular growth in single serve coffee and that wouldn't be impacted, probably, by any sort of macro-related issue. But in some of the other categories where maybe the growth's been a little bit more choppy, when you do talk with these top-to-top meetings you're busy with -- I mean, our people -- maybe I'll ask you the other way, I mean, are retailers -- you talked in the PLMA day about -- Investor Day about changing focus of private label. I mean, is it just that -- are retailers sort of adopting that now? I mean, it would just seem to me odd that there's not one retailer who's not looking at this suddenly like better economy, plummeting gas prices every -- investors looking -- retailers putting up great numbers all of a sudden, traditional food retailers. They certainly didn't when I covered them. And it was just odd that not one of them is thinking about maybe it's time to weight brands over private labels. So is that really where the discussion is? Were you just sort of converted, or retailers have come to this conclusion that private label can be just as premium or more so than brands in this kind of environment? Or do I have that macro perception wrong on their part?
Sam K. Reed: I think this is something where you've got a look at the big categories and the big customers and the intersection thereof. Each has its own particular strategy. And there are -- it creates a myriad of opportunity. With regard to the resurgence of brands, you've only got to look to Bentonville and Cincinnati to see the leading grocers or retailers that we deal with have an array of different strategies and they are able to make these work under different circumstances. At this point, as I said, we've got great opportunity going forward. And it would be a pleasant development from my perspective. The greater the amount of brand innovation and advertising, the better for the private label industry.
Operator: We'll take our next question from David Driscoll with Citi Research.
Alexis Borden - Citigroup Inc, Research Division: This is Alexis Borden in for David this morning. Two questions. First, so obviously, next year, FX is a pretty big headwind. But are there any levers in place that you can kind of pull to kind of offset the negative $0.30? It kind of looks like in the guidance that it doesn't look like to be much. Can you maybe provide some color on that?
Dennis F. Riordan: There really is very little we can do, and that's a function of having a lot of our input cost coming from the U.S. or Canadian subs are buying at a kind of an inflated rate relative to the Canadian dollar. But they're being sold in Canada, so trying to get that through in pricing is extremely difficult. And our estimate is that we'll be challenged. We will do some. But it's just not much we can do about that at this point. And the translation of the sales at the top line, that's math. So rather than assume we're going to turn things around or the rates are going to turn around, or we're going to get some miraculous pricing, our view is we're going to treat that as a headwind and do our best to work around it. But I think we had to call that $0.30 issue out.
Alexis Borden - Citigroup Inc, Research Division: Okay. And now a question on kind of single serve coffee. Does your CapEx guidance for the -- in '15 assume any further K-cup expansion? How do you think about your CapEx in terms of growth versus maintenance?
Dennis F. Riordan: For coffee, we will continue to monitor as we've always done. We said we expect to grow double-digit again next year. And if that warrants more capacity, we will, of course, put that in. And as we've always said in private label, we generally have about a 6-month notice, if you will, of new business versus when it starts to ship, so there's generally plenty of time to adjust capacity. So we'll have that ready to go as we look at the totality of our CapEx, that $115 million to $125 million. Our historic average is about 1/3 of that is maintenance, about 1/3 of that is productivity and typically, 1/3 is growth. With the new acquisitions, we'll have a little more weighting to growth because of the growth of both Protenergy and Flagstone that are expected next year.
Operator: We'll go next to Evan Morris with Bank of America.
Evan B. Morris - BofA Merrill Lynch, Research Division: Just a few questions. First, on the -- you mentioned, Sam, I think, or Dennis, that results have kind of come back a bit in February post the de-stocking. And just trying to get a sense as to where the business is right now in North America. Like is it back to that run rate that you had in maybe kind of in November at your Analyst Meeting? Just trying to get a sense as to where we're tracking right now.
Dennis F. Riordan: It's hard to say. We're only 45 days or so, 40 days into the new year. But they're generally, I would say, an expectation. I think that's the best way to look at it. It's hard to compare to what happened in Q4 because of the sudden drop at the end. But it's enough to tell us that we think -- I hate to use the word transitory, I see that being printed all the time these days. But we do believe that what happened in Q4 is generally behind us and we're fine for the new year.
Evan B. Morris - BofA Merrill Lynch, Research Division: So just to clarify, I mean, when you say in line with expectations, you suggested earlier, you mentioned that x that one retailer, the rest of the retail base was up around 4% in the quarter. So when you say expectations, is that kind of the right place to think about in terms of where business is tracking?
Dennis F. Riordan: I'm not going to say it's at 4% because every quarter is a little bit different in terms of how seasonality and products go. But I would just say that we're at expectations in that 2% to 3% organic growth number we talked about. We're fine with that.
Evan B. Morris - BofA Merrill Lynch, Research Division: Okay. And then I'm sorry if I missed this. But what was the FX at the EPS in '14?
Dennis F. Riordan: It was a little more varied, it wasn't as pronounced. The biggest issues affecting us were the sales and the 2 expense items I talked about, with FX maybe being $0.01 or $0.02 in that late in the fourth quarter. We had about...
Evan B. Morris - BofA Merrill Lynch, Research Division: So that $0.30 is essentially all incremental headwind for next year?
Dennis F. Riordan: Effectively, yes.
Evan B. Morris - BofA Merrill Lynch, Research Division: Okay. And then just a broader question. As we look at the, just the input cost profile across a lot of the food companies, it should be, I guess benign, in some cases favorable for some of the larger branded manufacturers. Is there concern on your end that if these companies do get to see a little bit of a tailwind as we move through the year that they'll pick up promotional activity, given sluggish sales? And how do you think about it? Is there a risk to private label volumes, as you think about that -- the chance of that happening this year and I guess, even over the next few quarters.
Sam K. Reed: Evan, this is Sam. There's certainly that possibility. I think the key matter is that the effectiveness of branded promotion has dropped substantially over the last couple of years. And it's difficult to get that response from the promotion without innovation, without news, without communication. So I don't -- it will be business as usual there, and it will not have a material effect on how our business goes in the new year relative to the last 2.
Evan B. Morris - BofA Merrill Lynch, Research Division: Okay. And just last question for you. Just with that, I guess, input cost backdrop, with some of your private label competitors, if any of them see any kind of tailwind or benign environment, do you anticipate, as contracts come up for negotiation or renegotiation, that there'll be increased price competition as some of your competitors may have a little bit more flex in their P&L from the cost side?
Sam K. Reed: Yes, I think we're seeing -- we'll see a continuation of the current level. The advantage that we have is, one, we've got a very large diversified portfolio. And secondly, we are an active and aggressive hedge -- hedger of these commodities and inputs of the forward basis. Last, we share the information with any and all of our customers who are interested in that. It gives us a -- those 3 factors give us a structural advantage over our competitors.
Dennis F. Riordan: Tiffany, in the interest of time, we'll take 2 more calls.
Operator: We'll go next to Kenneth Goldman with JPMorgan.
Joshua Adam Levine - JP Morgan Chase & Co, Research Division: This is Josh Levine on for Ken. I guess a question for you, just on the Industrial and Export business. You said some of the strength on the top line in margins has been, I guess, due to some recent contract wins. Is this a rate -- and obviously, it's a real acceleration. But is this a rate that can continue for the next year? And I guess, can margins continue, and is there anywhere else you think that margins can, I guess, go from here?
Dennis F. Riordan: Yes. Good question, Josh. Historically, this particular segment is an opportunistic segment. So as we have excess capacity and we have an opportunity to enter into contract manufacturing, we'll do that. Over the years, you've seen this category come and go. When U.S. dollar weakens, we wind up with a fair amount of export business that we normally wouldn't have, and now with the strong dollar that's been down. So this one is really hard to predict. And luckily, it's not the biggest one. So the margins can move around. I think the profit dollars tend to be a little more sticky, but not necessarily the top line or the margin percent.
Joshua Adam Levine - JP Morgan Chase & Co, Research Division: Got it. And then, just on -- going back to just on K-cups. You mentioned at Investor Day that you thought that there may be some opportunities to sort of consolidate within private label. And obviously your -- Sam, I guess, you'd said that your operational performance exceeds that of some of your competitors. I guess do you think that, that represents certainly an opportunity for you here?
Sam K. Reed: Well, I think that as this category continues to grow, that there'll be a great emphasis on the ability to segment the market, differentiate the product. And we have advantages there over all of our private label competitors. And remember that we are the first to adapt -- to emulate the Keurig 2.0. And as Dennis indicated, every product we've got, we'll be able to run on every machine in the marketplace. Those are the big advantages and then over a period of time, competition will work its usual process. And as -- if the structure changes, I expect that we'll still be the advantaged on the top of the heap.
Operator: We'll take our last question from Brett Hundley with BB&T Capital Markets.
Omar J. Mejias - BB&T Capital Markets, Research Division: This is actually Omar, in for Brett. I just wanted to go back to the North America grocery business. I know you just talked about the expectations for the 2% to 3% organic margin improvement. But could you talk a little bit about the recent margins from the acquisitions and how they will pace throughout 2015. And if you would also talk a little bit about what are you guys doing to improve the margins of this business?
Dennis F. Riordan: Yes. I don't have it exactly handy here. But if you went to our Investor Day presentation, I think we actually talked about the margin structure, and those may run anywhere from 400 to 700 basis points different than the base business. So that's where we get the negative mix on those. On the soup side, we're working aggressively with our own teams to find opportunities to improve that margin. It's a little more difficult than the snack nuts side because that -- those margin structures are a little more inherent to that category. And you can look at other publicly held companies that deal in the snack nut arena, and you'll see similar types of margins for nuts. So we will work on that, but it's a little more challenging since the raw materials represent such a significant portion of their cost of sales.
Omar J. Mejias - BB&T Capital Markets, Research Division: Great. That was actually very helpful. And in shifting a little bit to the single serve coffee business. I just want to get a little qualitative opinion on how are private label shares holding at the regional customers. There's been -- obviously, we've all heard about the talks about just some of the bigger players taking share from the mass merchants. But how are the private label shares holding up at your regional customers?
Sam K. Reed: Well, as I indicated -- this is Sam. As I had indicated that in totality, private label now has reached a 12% share on a unit volume basis. With regard to the individual retailers, what you see is a wide array of different merchandising strategies being put forth. And the most successful of those are where customers see their brands as a point of difference and a competitive advantage and regard those strategically. And in those cases, the private label programs are the most highly developed. There are other instances where the private label program is regarded as transactional and it's, as a consequence, a smaller and less developed business. We do think that single serve coffee -- single serve beverages remains an extraordinary opportunity as people demand -- look for not only the innovation but greater value, greater quality here. And we're well placed to be able to do that.
Sam K. Reed: Thanks, everyone. We very much appreciate your being on today, and both Dennis and I look forward to bringing you better results as the year goes along.
Dennis F. Riordan: Take care.
Operator: That concludes today's conference call. Thank you for your participation.